Operator: Hello, and welcome to the Diana Shipping Inc. First Quarter 2023 Conference Call and Webcast.  A question-and-answer session will follow the formal presentation.  As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Ed Nebb, Investor Relations. Please go ahead, Ed.
Edward Nebb: Thank you, Kevin, and thanks to everyone who is joining us today for the Diana Shipping Inc. 2023 first quarter conference call. With us today to lead the call from management is Semiramis Paliou, Chief Executive Officer, who will introduce the other executives of the company and begin the presentation.
Semiramis Paliou: Thank you, Ed. Good morning, ladies and gentlemen, and welcome to Diana Shipping Inc.’s first quarter 2023 earnings call. My name is Semiramis Paliou, the CEO of the company, and it is a great pleasure to have the opportunity to present to you today. As mentioned by Ed earlier, I'm joined by our esteemed team, Mr. Anastasios Margaronis, President of Diana Shipping; Mr. Ioannis Zafirakis, CFO and Chief Strategy Officer; Mr. Eleftherios Papatrifon, Director of Diana Shipping Inc.; Ms. Maria Dede, the company’s Chief Accounting Officer. Before we begin, I would like to remind everyone to review the forward-looking statements applicable to today's presentation, which can be found on Page 4 of the accompanying first quarter 2023 presentation. Q1 2023 has proven to be a profitable quarter for our company, despite less robust conditions prevailing in the market. Our disciplined chartering strategy, once again, have largely insulated us from the market weakening and has allowed us to generate positive free cash flows. In line with the guidance provided during the company’s end of year earnings call, we are pleased to declare the distribution of a dividend for this quarter amounting to $0.15 per share. We aim to continue rewarding our shareholders when the conditions allow us to do so. Turning to Slide 5, I will provide an overview of the company's snapshot as of today. We currently own and operate an extended fleet of 42 vessels in the water with a carrying capacity of approximately 4.7 million deadweight tons. Our fleet utilization has remained consistently high reaching 99.4% for the first quarter of 2023. Additionally, we employed 1,013 people at sea and the shore by the end of the first quarter. Moving on to Slide 6 and 7, let's review the highlights of the first quarter and recent developments. In January, we concluded the  deal signed in August 2022 to purchase nine Ultramax vessels with the delivery of the motor vessel DSI Aquarius. Also in January, we agreed to sell the motor vessel Aliki for a price of $15.08 million. She was delivered to her new owner in February 2023. In February, we agreed to sell the motor vessel Melia for an aggregate sale price of $14 million with a portion paid in cash and the remainder in Series D convertible preferred shares issued by OceanPal Inc. Motor vessel Melia was delivered to her new owners in February. Furthermore, within the same month, we purchased the motor vessel Nord Potomac later named the motor vessel DSI Drammen for a purchase price of $27.9 million. The vessel was delivered to the company in April. And within the same month, we completed a joint venture from our ownership and procured debt financing from Nordea Bank. Also in February, we declared a cash dividend of $0.15 per common share for the first quarter of 2022, amounting to approximately $16 million. Additionally, we announced a special stock distribution of all Series B convertible preferred shares of OceanPal Inc. held at time by the company. In March, we filed the 2022 Annual Report on Form 20-F, which is available on our website. Moving to more recent developments. In April, we signed a $100 million term loan facility with Danish Ship Finance A/S, which has been drawn down to refinance existing loan facilities. Last week, we entered into two separate term sheets with two major European banks for two senior secured term loan of up to $100 million and $22.5 million each. Lastly, today, we announced a quarterly dividend of $0.15 per common share totaling approximately $16 million to be paid in the form of DSX shares or cash at the election of each shareholder. As of May 22, 2022 we have secured revenue of 79% for the remaining ownership days of 2023, amounting to approximately $128.3 million of contracted revenues. Additionally, we have secured approximately $66.4 million of contracted revenues for 2024, representing 26% of the available ownership days for the entire year. Ioannis will provide a more detailed analysis of our cash flow generation potential based on the current market environment. Turning to the financial highlights of the first quarter of 2023 On Slide 8. As of March 31, 2023 we held a cash and cash equivalent position of $115.7 million, including restricted cash and time deposits compared to $143.9 million as of December 31, 2022. Our net debt, including deferred financing costs stood at $630.8 million at the end of the first quarter of 2023 compared to $663.4 million at the end of December 31, 2022. Time charter revenues for the first quarter of 2023 amounted to $72.6 million compared to $65.9 million for the same period in 2022. Lastly, our earnings per share for the first quarter of 2023 came in at $0.22 compared to $0.31 per share for the same period in 2022. Ioannis will provide a more detailed analysis of these numbers later in the presentation. Moving on to Slide 9. Let's review a summary of our recent chartering activity. We have continued to implement our disciplined chartering strategy by securing profitable time charters for nine vessels since our last earnings presentation in February 2023. To provide some detail, we have charted one Ultramax vessel at a daily rate of $18,250 for a remaining average period of 326 days. Additionally, we have charted three Kamsarmax vessels, one Panamax and two post-Panamax vessels with an average daily rate of $14,010 and a remaining average period of 446 days per vessel. Furthermore, we have chartered two Capesize vessels with an average daily rate of $19,360 and the remaining average period of 466 per vessel. We intend to continue chartering our vessels in a staggered manner, focusing on locking in cash flows and positioning ourselves in a balanced way to participate in the market efficiency. I will now pass on the floor to Ioannis to provide a more detailed analysis of our financials.
Ioannis Zafirakis: Thank you, Semiramis. All in all, I think this has been a good quarter. As we have already said, our time charter revenues for the quarters stood at $72.6 million compared to $65.9 million in the same quarter in 2022. Of course, you understand that this is mainly because of the increased number of operating days, i.e. number of vessels. The time charter rate was at  (ph) compared to 22 -- almost 22 something thousand per day in 2022 for the same quarter. This is showing the market -- the current or the previous quarter's market conditions. An important point to pinpoint someone for this slide is the daily operating expenses where we are at similar levels like a year ago or even a little bit lower. Moving to Slide number 11. The important point on this slide is the earnings per common shares diluted, as we have already said, we managed to have $0.22 per share compared to $0.31 for the previous year's quarter, same quarter of the previous year. Moving to Slide number 12. Again, we have kept our balance sheet at a very healthy condition. You can see the cash and cash equivalents and time deposit to be at the level of $115.7 million and the total debt only at $630 plus something. If you do the math, this leaves the company with a net debt position of only $523 point something million. Slide number 13. As we have mentioned many times, managing our amortization profile is very important. Taking into account the two last loan agreements, the last two loan agreements we did the one for $100 million and another one for $22 million, we have successfully managed not to have maturities for the remaining of 2023 and the entire 2024 and 2025, the entire 2025. Of course, this should not be news for you since you know that from the beginning we have being very prudent with the management of our liabilities. Slide number 14. In addition to the previous slide, looking at the total debt in each composition, it can clearly been demonstrated how reasonable is the debt amount for the years to come. And also each composition of various financial instruments, some with fixed interest rates others with variable and that gives a good hedge position in this unstable interest rate environment. Slide number 15. Our breakeven cost also has been kept at very low levels. We are talking here approximately $14,600. Looking at the other time charter rate for our fixed revenues for the remaining of 2023, it is at $17,170 and for 2024, of course, only 26% of the days, but still we're talking about $17,248 per day. Slide 16, pretty much certain that you are bored looking at this slide, but this is the usual graph that depicts the essence of our chartering strategy, which is exactly the same since 2005. A strategy that is proven -- that provides the best risk reward ratio for our revenues. The specific numbers we have already mentioned on previous slides. Slide number 17. Using the May 15 FFAs, of course, are not on the high side. It looks as if we can have a cash flow surplus of $16 point something million for 2023 and $1.6 million for 2024. And now, I will pass the call to Anastasios Margaronis for the drybulk market outlook. Anastasios?
Anastasios Margaronis: Thank you, Ioannis. And welcome from me as well to the participants of this conference call on Diana's Q1 financial performance and the look at the industry outlook. I'd like to start by looking at recent bulk carrier earnings developments. The bulk carrier sector has experienced softer earnings recently across all size range. Average bulk carrier earnings are down to around $12,000 per day, amid limited inquiry in key cargo loading regions and weaker sentiment. Looking at the indices, we observed the following trends, which help us put into perspective the present state of the market. The Baltic Dry Index started the year at 1,250 and closed yesterday at 1,250. The 2022 high was 3,369. The Baltic Cape Index moved from 1,635 on January 3 of this year to 1,758 yesterday. The 2022 high was 4,602 and the five TC route earnings peaked at $38,169 per day. The Baltic Panamax Index started the year at 1,438 and closed yesterday at 1,141. It reached the high of 3,416 in 2022 with the five TC average earnings peaking at $30,746 a day. The Baltic Supramax Index stood at 968 on January 3 and closed yesterday at 980. The 2022 high was 3,033 and the 10 time charter average earnings peaked last year at $33,366 per day. The 12 months’ time charter rate for Cape stands at around $15,000 per day. For Panamaxes, the rate is a low $12,500 per day, while for Ultramaxes, it stands at around $11,500 per day. Now let's try to explain the reasons behind these rather wild movements in earnings and indices. On Slide 19, we can have a look at macroeconomic development. According to the latest forecast published by the IMF, world GDP is expected to grow by 2.8% this year and 3% in 2024. Uncertainties which may create headwinds for the bulk carrier market include the U.S. banking system stability or instability, monetary policy trajectory, energy prices, inflation, the Chinese economy and the continuing Russia-Ukraine conflict. According to Clarksons, the Chinese GDP grew by 4.5% during the first quarter of this year, which was up 2. -- from 2.9% in the last quarter of last year. Manufacturing and infrastructure spending were supportive, while domestic consumption and the property sector have not performed as well. New construction spending was down 19% during the first three months of this year. For 2023, China's GDP is anticipated to grow by 5.2% and by 4.5% next year. The United States is expected to grow by 1.6% this year and only 1.1% in 2024, while the Eurozone area is expected to grow by 0.8% this year, and by 1.4% in 2024. A quick look at the grain trades now. The global seaborne grain trade is projected to grow by 3% this grain season from a reduction of 3% in 2022. Last year, several factors including the Russia-Ukraine conflict put pressure on seaborne volume. This year, the Black Sea grain initiative came up for renewal on 18th May. It appears that the fresh agreement is now in place and Ukraine and exports will not be disrupted further, at least by these regulations. Ukraine and grain exports reached 29 million tons this year to May 1. For 2024, world seaborne grain trade is expected to increase by a further 4%. As regards coking coal, global seaborne coking coal trade is currently projected to grow by 2.9% this year compared to 2022, which will follow a drop of about 0.5% last year. China is expected to import less coking coal than last year, while India will probably increase imports by 9% to 78 million tons. In 2024, seaborne transportation of coking coal is expected to increase marginally by about 1%. Thermal coal, global seaborne thermal coal trade is currently projected by Clarksons to grow by 2.8% this year and reach 991 million tons. India's imports are once again projected to grow by around 10% this year, while Chinese imports are also expected to increase by 6% to 210 million tons. Indonesia is expected to increase its coal exports by about 32% this year. In 2024, thermal coal exports as a whole are expected to grow by further 1%. On the all-important iron ore trade, the global seaborne iron ore trade is projected by Clarksons to grow by around 2% this year at 1.5 billion tons. Chinese imports are expected to grow by 1.6% and come to 1.127 billion tons on the back of improving sentiment in the steel sector. The main concern here is the Chinese government's decision to place a cap on steel production at 2022 levels. If implemented, this could reduce iron ore imports over the rest of the year. According to Commodore Research, Chinese iron ore stockpiles are at their lowest level since last July. Strong steel production in China has helped this destocking. Turning to the minor bulk trade. The global seaborne minor bulk trade is currently projected to increase marginal this year by 1% after contracting by 4% in 2022. Agri bulks, fertilizers, metals and minerals are all affected one way or another by sanctions against Russia and trade restrictions between the warring parties in the Ukraine. Furthermore, macroeconomic pressures and other headwinds have been responsible for weakness in demand for minor bulk commodities. One bright spot has been the bauxite trade. According to Clarksons, China's imports of bauxite, mainly from Australia and Guinea, last year was such that without them ton mile demand for bulkers would have been 0.6% lower than it actually was. This is something Clarksons expect will continue this year as well. Turning to Slide 20 now and looking at the new building order book and supply side. According to Clarksons high new building prices limited birth availability at shipyard. Uncertainty about fueling technology options and economic uncertainties have had a negative impact on owner's willingness to place new building orders. The overall bulker order books stood at 7% of the entire fleet at the end of March. For Cape, this percentage was just 5%, for Panamaxes 8.9% and for Handymax Ultramaxes, 7.7%. Ordering this year has been down by an average of 65% across the size spectrum of bulk carrier. New buildings orders this year will not be delivered before late 2025 due to the backlog of ordering of LNG carriers, car carriers and containerships. Checking now with fleet development. According to Clarksons, the Capesize fleet is expected to grow by 2.2% this year and only 0.3% in 2024. The Panamax Kamsarmax fleet is anticipated to grow by 3.3% this year and 0.7% in 2024. The Handymax Ultramax fleet is expected to grow by 2.2% in 2023, and just 1.8% next year. Still on the supply side, port congestion has also dropped with the Clarksons index having dropped to about 33% of Cape and Panamax capacity globally in early April, down from about 36% a year ago and closer to the 2016-2019 average of about 30%. A quick look at fueling transition. According to statistics published by Clarksons and the American Bureau of Shipping, 93 alternative fuel capable ships of all types were ordered during the first quarter of this year, which is 49% of the total tonnage order. While LNG remained the most popular option in Q1, there was some interest in methanol with 32 ships orders, primarily container vessels, which were 21. Some owners are ordering ships with full fuel optionality by ordering vessels with LNG, methanol or ammonia ready notation. The extent of readiness is directly proportionate to the premium payable for these very few ships orders. At the beginning of this year, at least 38% of the order book in gross ton terms will be fitted with at least one energy saving technology. This is the result of the IMO short term measures on EEXI, the energy efficiency existing ship index and CII, the carbon intensity index. It is estimated by Granular Capital that by the end of 2023 around 30% of the world’s fleet, all types of ships will be modern eco tonnage, 6% will be alternative fuel and 25% will be equipped with some sort of energy saving technology, such as bio enhancement, , propeller ducts or rather bulk among others. A quick look at demolition. The forecast published by Clarksons for dry bulk demolition this year is for 13.5 million deadweight tons. While for next year, the forecast is for 30.9 million deadweight, mainly due to the aging fleet and the environmental regulations come into force. The benchmark price for bulk carrier scraping candidate stands at around $550 to $575 per lightweight ton displacement. Finally, the outlook for our industry. We agree with Clarksons on supply backdrop of our industry. The order book stands near the 30 year low of around 7% of ship tonnage in the water as mentioned earlier. Improvement to bulker earnings are broadly anticipated in 2023 with supply demand fundamentals appearing marginally positive for this year with ton mile demand expected to grow by 2.5% against a fleet growth estimate of about 2.4% overall. Furthermore, compliance with emissions regulations mentioned earlier, it could reduced bulker supply by an estimated 2% to 2.5% per annum during 2023-2024 through lower speeds and retrofitted time. In 2024, Clarksons forecasts some further improvements in the bulker market based on more positive supply demand fundamentals. Ton mile demand is initially projected to grow by about 2.5%, while total fleet capacity growth could be slightly less than 1%, given slowing deliveries and potentially increased demolition. If these forecasts come to pass, and considering the fact that for the last few quarters, the bulk carrier market has been evenly balanced with no significant shortage for surplus of tonnage. Earnings should indeed improve. However, Clarksons highlight uncertainty over the scale and timing of potential market improvements and weaknesses in the world economy, which still need to be monitored close. This uncertainty makes us more cautious about the prospects of our industry as adverse developments could easily influence future demand growth and ruin the benign supply/demand forecast for 2024 and beyond. We continue therefore adopting the agnostic view in the chartering and commercial management of our fleet. And at the same time, strengthening our balance sheet with among other things actions mentioned by our CFO, Ioannis Zafirakis earlier on in this conference call. I will now pass the call back to our CEO, Semiramis Paliou for an overview of our corporate strategy and goals going forward. Thank you.
Semiramis Paliou: Thank you, Anastasios. Before we open up the call to questions-and-answer session, I would like to summarize the key points from today's presentation. Firstly, we continue putting emphasis on generating and securing positive free cash flows. Since November 2021, we have consistently distributed substantial cash and in-kind dividends. Additionally, we have provided clear guidance of our intention to declare a quarterly dividend of $0.15 per share for the next two quarters of 2023. Secondly, our company maintains a strong balance sheet, allowing us to pursue creative growth opportunities and fleet renewal initiatives. Third, we remain committed to our strategy of providing stability in a cyclical business, while maximizing long term shareholder value. Thank you all for joining us today, and we look forward to addressing your questions during the Q&A session.
Operator: Thank you. We’ll now be conducting a question-and-answer session.  If there are no questions at this time, I'd like to turn the floor back over to management for any further or closing comments.
Semiramis Paliou: Thank you. Once again, thank you all for joining us today. We look forward to talking to you on our next earnings call. Thank you very much.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.
End of Q&A: